Operator: Good afternoon, and welcome to the Invinity Energy Systems Plc Interim Results Investor Presentation. [Operator Instructions] Before we begin, I would like to submit the following poll. And I would now like to hand you over to our CEO, Jonathan Marren. Good afternoon to you.
Jonathan Marren: Great. Many thanks, and welcome, everybody. Welcome to our 2025 interim results presentation. Delighted to have you all here today. The results were released a week, on Monday, so they've been with you for a while. We're going to start this session with a brief come-through of the results from Adam, our CFO, because obviously, that is the direct topic of this, but we've been having a number of institutional meetings yesterday, today and Monday -- sorry, on Tuesday. And understandably, most of the questions are around where we're heading as a strategic basis and an awful lot of news flow that's come out in recent weeks and months. And we're going to talk around that and happy to take your questions afterwards. So Adam, if I will, I'm going to hand over to you to talk through the interim results.
Adam Howard: Good afternoon, everybody. I'm going to start by going through the key financial highlights, a little bit more detail on the P&L and balance sheet and then pass across to Jonathan on the strategy. So looking at the first half trading in line with expectations, we signed -- we launched ENDURIUM at the back end of last year and signed 12-megawatt hours of orders in the first half. That's up from 4-megawatt hours in the same period last year. So clearly, revenues second half weighted this year, we recognized GBP 2 million of revenue and grant income driven largely by the LoDES project funding. We were -- our operating loss was down 10%. That's a combination of recognition through LoDES and also a reduction in our administrative expenses. The group is debt-free, just shy of GBP 40 million cash at the end of September with a GBP 20 million order book for the full year. And so looking at what's happened on the P&L, that GBP 2 million revenue in project grant income, GBP 1.7 million of that was LoDES grant funding, probably recognizing through the P&L, what's not capitalized in terms of the units themselves. We -- you will see a slight uptick in the gross loss. That's reflecting our running costs spread across lower production volumes and also includes warranty costs, which also include the DC-DCs that are being replaced by the supplier. And slight reduction in overheads, as I said, has been supported by our R&D recoveries out in Canada. And so taken together, a reduced operating loss of GBP 10 million compared to GBP 11 million in the period last year. So looking more on the balance sheet and what's happening there. So you will see an uptick in our inventory and prepaid inventory to GBP 14 million compared to GBP 6 million this time last year. That's a reflection of LoDES, HITT, the U.S. project we announced back at the beginning of the year, and STS, the Hungarian project. Importantly, there is debt financing sitting behind the STS project as well, which is also important as we scale this into these larger projects for Cap and Floor. So what you'll see in the bottom left-hand corner is the buildup of that inventory there in Motherwell ready to be shipped out for LoDES. You will see some DESNZ claim accrual on the balance sheet. That's cash that has since been received. So I say, taken together with the GBP 25 million raise that we recently closed, just under GBP 40 million of cash, which is the company comfortably funded through to 2027. Looking at outlook for the full year. So the GBP 20 million order book, there is some risk within that around 10% of that subject to customer NTPs. And then we need to close out another GBP 5 million of near-term contracts to get to the maximum potential revenue and grant income for the year of GBP 25 million. We're broadly categorizing our pipeline into 3 main areas. One is order book. So that's signed contracts with customers that are either unconditional or subject to a customer NTP. The second is near-term contracts, so projects that we're expecting to close out in the next month and the next quarter, which are in final contracting stage, so without development risk. And then the last category is our development pipeline. So those are people who have bid into a procurement scheme like Cap and Floor in the U.K. or the schemes in North America and Canada with our technology or submitted planning permission on a project with our technology. So with that, I'm going to pass across to Jonathan.
Jonathan Marren: Well, actually, Adam, if I may, just talk about before you cover that slide. If I can just push you back to this slide here. There's a little picture on the left-hand corner there, and I think pictures paint a thousand words. Adam talked about inventory rising at the period end. For those of you that have been to Motherwell, that is a picture taken from Motherwell, no matter than sort of 24, 48 hours ago. As you'll see, there are a very significant number of boxes that are there. Those are in relation to the LoDES project and also in relation to the Indiana project we signed and announced quite recently and HITT. So you can see visually there, we have a very full factory with inventory ready to go, which obviously will convert into cash. And I think the other point I'd like to mention is that, Adam rightly pointed out that revenues are second half weighted. Just to recap, we had a major new project -- product launch at the back end of last year, right at the end of December. We managed to ship 4 of those units from Vancouver to Gamesa Electric in Spain, at La Plana. And that has been tested and you've seen, hopefully, or will see, LinkedIn posts from Gamesa Electric on that site and then talking about that. Any manufacturer that launches a new product does not start shipping straight away, particularly if they are working up the new supply chain and moving it from Vancouver to China. So it's not surprising given our revenue recognition that revenue gets reckoned in that second half of the period. So the other point on that is that the trigger for recognizing grant income on LoDES was when we got planning permission on that site, and that came really right at the back end of June. So with that, Matt, I might just ask you to cover off some of those LDES procurement programs.
Matthew Harper: Yes, absolutely. And Jonathan, thanks. And I know you'll speak in a moment about the importance of some of these programs in our broader strategy. Look, we've been tremendously encouraged over the last year really to start to see around the world a number of bespoke programs for long-duration storage, most of which have some form of carve-out for non-lithium technologies, whether we're talking about the Cap and Floor program in the U.K., the BC Hydro RFEOI that has just closed here in BC or some of the programs in California that are a continuation of our already successful deliveries there. Those jurisdictions are all starting to look not at sort of tens of megawatt hours, but hundreds to thousands of megawatt hours worth of deployment of our class of technology. We're tracking about a half dozen or so of these projects as active participants. We have submissions that have gone in within the various deadlines that started back in June and are running through sort of early next year. And we've been very encouraged so far by the feedback that we've had from the developers with whom we're partnering on these programs and expect that we will hear good news and share it with you all when -- as and when it comes through.
Jonathan Marren: Great. Thank you, Matt. So let us move on to the bulk of the presentation. The first 3 slides here are really how we are presenting the business now to investors, to customers, to those who maybe haven't come across Invinity so far. So I'd like to run those through to you because I know there's -- there will be some new people on the call as well as those who are familiar with it. But there's some interesting data points here as well that point to our strategy. So that top left, the world is facing an energy crisis, and I don't think anyone can doubt that is the case. There is a significant amount of primary energy that is wasted at the moment, 63% of a 5% of global GDP is wasted as energy at the moment. And there's a reason for that. Global energy demand is growing at a very, very significant rate. And that third bullet point there is very interesting. If you look at where consumption is forecast to rise significantly globally, 60% of that is due to come from both China and India. Our business is one about gaining scale because scale enables us to reduce our product cost and therefore, open up our marketplace. If we are going to achieve scale globally, we need to be in those 2 markets. And as you'll see and we'll come on to, we announced 2 really interesting partnerships in China and India, both in September. If -- for those who are familiar, I spend a lot of my time, I'm afraid, looking at renewable penetration on the U.K. grid. On Saturday, we had a very blustery day and it was very sunny, and we had approaching 75% of penetration of renewables onto the grid. However, we still have the highest energy prices in the G7 and some of the highest worldwide. It is causing huge issues from a manufacturing perspective, from a growth perspective. And the reason that you can have that high penetration of renewables, but yet no impact on prices is because the current storage mechanism we have, which is predominantly lithium short duration storage is not bridging the gap between the two. We need to be able to time shift that renewables from daytime from the solar perspective overnight and particularly when the wind is generating. And that's what long-duration storage is designed to achieve. So if that's the problem that needs to be addressed, how do we address that? Now very simply, we produce a battery. We produce a 20-foot shipping container that is a battery in a box. And frankly, we don't need to make it too much more complicated than that to a large audience because fundamentally, our customers, be they sophisticated developers, be they C&I businesses, want to buy an energy storage device. They want to buy a battery. They are not too concerned necessarily whether it's a lead-acid battery, lithium battery, or vanadium battery, but what they want are certain characteristics that, that battery can deliver. So for us, we talked about our characteristics, we have different ones than other types of batteries. Critically, we have a 30-plus year life without degradation. And what that means is you can cycle the batteries as many times as you want without any drop-off. And that is unlike almost any other type of battery. There is no fire risk. Critically in a huge number of use cases, fire risk is a problem. And it's also a problem from a planning perspective. Increasingly, planners do not want a fire risk there. We are less noisy as well. That's quite a significant characteristics at the same time. One of the questions is, well, if -- and when I talk to customers, it's rare you would talk to a customer that says, look, I love this. I don't -- I would like to buy a battery. Why are you not selling more of them? And why can I not buy one now? And the answer is actually, it comes down to cost, and cost is going to be a recurring theme of our product across this presentation and what we are doing to get to a position where that gets taken off the table, and therefore, we can scale significantly. Now the other point that is really interesting is you'll see a number there that we have nearly 2,000 individual flow battery modules manufactured for customers across the world. That's up from 1,500 that actually we presented very, very recently. And actually, when you account for the LoDES projects and others which we are building out for STS, Ideona, et cetera, we're at about nearly 2,000 number. And that's really important as well because most of our customers are going to be those who effectively are building a critical infrastructure asset. This has to work. They are not willing to take infrastructure and technology risk. And what is clear now is because we have progressed the VS3 since 2020, over the last 5 years, we've got that credibility. So we have proven the technology works. But not only that, we've proven that the customer services and our ethos around that is something which customers really value. And time and time again, I speak to customers and they say, look, there are always problems on site, and there will always be problems on site across all technologies, across all products. And what you really want is an organization who we can trust to come in and resolve those issues. And not only resolve them, actually, come to us and say, look, we have an issue with the product or this site, we actually need to come in and fix it. And this is the time scale, and this is how we'll do it. And then you do that on time. And I am very, very certain that we are doing better than the industry on that because we are told that time and time -- time and time again. You only have that if you have that number of products out into the field. And that in itself is a competitive advantage and the blocker from others who are not in that position getting to where we are. Clearly, if we stand still, we will allow others to catch up, but we don't intend to do that. So that is a huge competitive advantage. If I can look at that bottom right-hand box, our revenue model for those who, say, are new to us, our principal revenue stream at the moment is sales of batteries, sales of those 20-foot shipping containers. And we recognize that once the product is taken ownership by the client. There is some servicing revenue that comes alongside that. Inherently, there's a bit of a conflict. You don't want to grow that too significantly because ultimately, people are looking at the overall cost of ownership of this product and for them, keeping the servicing level down is important. So -- but it will become an increasingly important revenue stream for us. The license and royalty arrangements, which are those that we look to progress outside of our core markets, so across Taiwan, across China, across India, it is likely that all those -- most of that revenue will come as a license and royalty. So our partners will look to do the heavy lifting in terms of the sales process, in terms of the commissioning, and we will get paid a royalty for that. And we alluded to that, I think, in one of our announcements when you look to China, that comes through effectively at very, very high gross margins. There were no costs associated with that. So that is one way of significantly enhancing the margins over and above product sales. And then that last bullet point at the bottom, batteries as a service. You are starting to see service providers talk about this. ABB is one of those service providers that launched this service at the end of last year. And actually, for a behind-the-meter customer, so a sort of C&I customer, who maybe has solar on their roof, what they really want to do is they will need to lower their energy bills. They're not sat there thinking, I need to buy a battery. And therefore, if you can package a product up and offer a service to them, almost power by the hour, you could say, that can start to become very appealing. And if you think about how a leasing model works, we all know when we -- if we lease a car, ultimately, the cost of that lease is driven by the residual value of the car at the end of that period of time. We have a battery that doesn't degrade. And therefore, you would have thought that the residual value of that battery should be much higher than another product. It should lend itself really well to a leasing model and therefore, this type of service. So we've said future here because it is the future. We're not about to do that just yet, but it is something we will actively work on to see how we can progress. We -- Invinity came together at the beginning of 2020. And since then, we have those 2,000 modules -- up to 2,000 modules out into the field. We have over 6 gigawatt hours of energy dispatched from those batteries, and we are about to break the 7 gigawatt hour of dispatched energy. Again, that brings huge credibility to the business. But ultimately, it is all about ENDURIUM. We launched ENDURIUM at the back end of last year. And very recently, we launched ENDURIUM Enterprise. Those cover effectively different use cases and different sizes. But absolutely critically, it is the same shipping container. It's the same battery within that box because what we do and are absolutely focused on is driving cost out of that product, and you do that by having a product that is manufactured on a repeatable basis. And there is a different architecture that sits around it. But ultimately, that's how we can take cost out and deliver scale from that. So going forward, you would expect to see certainly ENDURIUM and ENDURIUM Enterprise sales being predominantly the mix. So business strategy. And I think this is -- it's worth spending a few minutes on here to explain where we are. If I can really focus on that longer-term box. Longer term, we mean 2030 as a target. I am convinced and I have -- is an ethos throughout the company that we have to be in a position that as a product, we can compete alongside any other energy storage device without any form of support from the regulator or elsewhere. This needs to be able to compete in its own right. And the way we do that is an absolute focus on driving cost out of the product heading towards that target. We have a very good competitive advantage with other LDES technologies, and there's a great example of that from the Cap and Floor program, which I think Matt will talk about in a short while. But lithium really is a huge competitor to ours. It improves from a performance, fire, safety perspective, but we have very other many characteristics that enable us to compete on that, but we have to continue to compete on cost. And therefore, at the moment, we'll talk about how we are going to do that. So what does that mean? That medium-term box there, though, is how we can deliver significant scale from various programs, which are being promoted around the world. Now Matt's just talked about those LDES programs such as BC Hydro, such as Cap and Floor. There are some very significant programs there. And that -- we've shown we can be successful so far within Cap and Floor, and we're seeing the same level of interest elsewhere. That can deliver for us billions of pounds of revenue. Now that's interesting, but what really is driving the cost out is the scale that comes behind that of significant manufacturing of products across the piece. So that's where we are focusing to deliver those huge potential volumes. But what does that mean for the short term? It means in the short term, we need to be a little bit more focused on where we are looking to sell. We are not looking to compete directly head on with lithium. But there are many use cases we see where lithium is not appropriate. Think of a green hydrogen project, think of a data center. Both of those have a fire risk that you would not put a lithium battery directly next door to. We also speak to developers who actually see that there is a cost and benefit to putting our vanadium flow batteries in now. So therefore, we're speaking to some very large developers who are considering making purchases for delivery next year and the year after. So there is some really interesting deal flow there, but we have to be a little bit more fleet of foot to be able to find them. There are competitors of ours that are able to sell at negative gross margin at future costs to achieve that. It is one way of driving scale, but it is very high risk. And also, I think it's -- for us, we need to be focused on driving that cost out and just making more careful use of our balance sheet rather than effectively what could be wrapping pound notes around a product before it sells out there. So I hope that sort of explains our strategy and why we're heading where we are. The short term, we're looking to make sure that we've got some healthy growth in revenues next year and then really pushing forward from '27 onwards. So from a cost down perspective, I'm going to cover the first few bullet points here. Matt, I might hand over to you, if that's okay, to talk through some of the detail. But one -- in fact, one of the most interesting questions we got when we produced the final results was an institutional shareholder saying to us, look, you moved from VS3 to ENDURIUM. That was quite a long process to get there. Are you happy with the result? Did it achieve out of the box what you thought it would do? And the answer there is, yes, it has done. There is a reason why we spent so long talking about box, then Mistral and now ENDURIUM. Out of the box, 43% lower production cost than the VS3. So an absolutely critical step forward from a product development perspective. A year ago, when I took over as Chief Exec, we talked about the fact that at that point in time in Vancouver, the product was too expensive, and we needed to move to a low-cost region, and we set out that we knew how we would do that. We have taken, since then, 36% cost out of the product as we've moved it across from Vancouver to China, where the balance of system is currently being manufactured. So 2 important data points there. If I can just focus on that graph before I hand over to Matt and explain those 3 lines. The top line, again, 12 months ago was where the cost target road map was set out. Still some laudable forecast there, but we needed to deliver against that. Now the middle line was what we reported to you at the time of the final results in May, and that red line is the most latest cost projection. So as you can see, we are continuing to head down the curve, but as an improved rate than we forecast before. That is so important to us because we know we are absolutely certain that at the cost points that we think we can get to, this really does open up the market. So Matt, if I may, I might hand over to you just to cover off the other part.
Matthew Harper: Yes, absolutely. Look, the -- as Jonathan said, and as many of you are well aware, this is a market that is tremendously cost sensitive and where we need to be directly competitive, both on a first cost basis and ultimately on a low-cost basis as well with lithium juggernaut What we've seen, we've been very happy with the progress the team has made over the last year, knocking further cost out of ENDURIUM as we've brought that out. We've started to optimize the supply chain as we started to deliver the product as we wanted it to be. The next 2 stages of the evolution of that are really looking at the first stage for product that is going to be delivered within about 2 to 3 years. We're looking at primarily improvements on the fundamental design of the product, some engineering changes to optimize how the product is configured and goes together and then really leaning into the relationships that we're developing in India and China to make sure that on a global basis, we are developing the absolute best possible, lowest cost possible and highest quality possible supply chain. When we look out to the end of the decade, what we have time for at that stage is more evolution of the fundamental technology underlying the product. So everything that we're going to deliver between now and say, 2028 is going to be based on exactly the same technology we have today. But as we look out towards the end of the decade and as we look towards that point of becoming directly cost competitive with lithium, what we are contemplating is enhancements to the existing technology platform through better stack technology, higher energy density electrolytes and related performance improvements that are going to see us hit that direct cost competitiveness. So looking at those global LDES procurements that we talked about a few minutes ago, we've got with ENDURIUM, the tool that we will be able to use to deliver those projects profitably in the next sort of 3 or 4 years. And then by the end of the decade, moving beyond those bespoke stand-alone programs to be directly competitive with best-in-breed product in the marketplace.
Jonathan Marren: Great. Thanks, Matt. So I'd like to spend a little bit of time talking about a couple of the announcements which we made in September on China and India. Let's cover India first. We announced a strategic partnership with Atri. Atri is an entity that I've known the promoter from that for some 15 years or so. He was behind KSK Energy, which was a power generating business listed in London, but with assets in India, upwards of about 5 gigawatt hours of coal and wind assets. Very deep understanding of Indian power markets, very well known in the sector and understands how the sector is moving towards greater penetration of renewables and the need for LDES technology. The Indian market is one, and you've seen this from solar, you're starting to see it from lithium, and it's going to be exactly the same for long duration. That market really needs locally supplied product for that market. And therefore, for us to be able to deliver into that, we have to have a local supply chain and local manufacturing. But I'm a firm believer that in areas outside of our areas of expertise, we have to have partners who, a, we can trust; and b, who are competent to be able to sell into those markets. And again, I think we picked a great partner with actually to enable us to do that. So they are very much going to assist us on those commercial efforts. They are well connected in with the various LDES programs that are going through there and are going to assist us and going to work with them to be able to make submissions into that and also build up the supply chain and the manufacturing. So very excited about that. They also looked to the business and wanted to help us from a strategic basis and hence, the GBP 25 million, which they and Next Gen Mobility put in during the period. So really pleased to have them on board, and the teams are working collaboratively with each other already. China is obviously an enormous market. And I was -- I've made 2 trips to China and Hong Kong quite recently, both to Xiamen in China, which is on the East Coast. And what you realize when you go to China is actually China is obviously a collection of provinces and those provinces compete really fiercely with each other. And the province where Xiamen is in has a lithium battery manufacturer. It has Hithium, which it assisted growing from a standing start in 2019 to what is now, in some measures, the second largest lithium battery manufacturer in the world. They don't do anything when it comes to vanadium flow batteries at the moment, and they are very keen to have a presence there. So that's great. We've met them, and they are really keen to work with us. The picture there, we have the #2 in the Head of the Commerce Department of the Xiamen government. We have a new potential partner, which is International Resources Limited. They own one of the world's largest vanadium mines in South Africa and various other sort of members of the sort of British diplomatic service, et cetera. What we are trying to do there is to use what China is very good at, is building scale. And the other thing they are very good at is also on quality as well. So it's maybe a misconception that you might have sometimes that what comes with scale and quality doesn't follow. We were blown away when we walk around the Hithium factory, the level of automation and the level of quality control that comes with that. When China wants to do something, it really does put its mind to it. There is always a risk conceptually that there is IP leakage from doing this, and we are alive to that. I would say 2 things, one of which is that I think there is a greater risk in us not trying to embrace how China can deliver scale. But also one of the ways you mitigate that is by working with partners who you trust. And so the fact that we are working with UESNT, who we announced slightly earlier and International Resources Limited, those are 2 partners that we've been working with for some time, we've got to know well. IRL is based in Hong Kong. So we'll channel a lot of our efforts through that. There's a more familiar legal setup in doing so. And so together, that will enable us to really be comfortable and try and drive cost out. The other side of that is that both of those 2 organizations have some really interesting projects and contacts within China at levels that I think we wouldn't -- in some sense, sort of dream of being able to exploit ourselves. And so on both China and India, you can see a license and royalty model coming through there. And if we get this right and we start delivering product into China, then this could start to deliver quite significant license royalty revenue from that. We are not there yet. But at the very least, what this should be doing is delivering low-cost product to enable us to compete at the lower cost we need outside of China in our core markets. So both of those 2 are really, really exciting. The partnership in Xiamen is through C&D Group. C&D has a $100 billion of revenue. It's a Fortune 100 companies. It's a collection of companies that sit within that. I've met on numerous occasions, the senior management team there, i.e., the Chairman of the various organizations and developed a really good relationship with them. So this is hopefully going places and more to come in due course. Now Matt, if I may, I wouldn't mind you just covering sort of the LoDES program, and I will jump in on one point. I think you know when I'm going to do that.
Matthew Harper: Yes, absolutely. Always welcome to jump in, of course, Jonathan. Look, we were thrilled about 3 weeks ago to see the short list for projects that have been qualified under the first stage of the Cap and Floor program. Of the 171 projects that had been proposed, 77 of them were selected to go forward. That's a pretty healthy ratio of which were our projects, a total of 16.7 gigawatt hours of projects on our side. Of the handful of developers that we had partnered with to deliver proposals under this program, 4 of them were selected to go forward with delivering projects with our technology, including Frontier Power. We were also very encouraged that 100% of the eligible VFB projects in the scheme were ones that are planning to use our technology. So a real validation that not only we're the right technology for the program, but that we're -- that Ofgem and others believe that we're the ones who are going to be able to deliver the right kind of LDES capabilities to the future grid, in general. I think it's worth noting that there are a combination of projects that had both lithium and zinc batteries installed. Those projects are going to -- they're intended to include both technologies. And we're very happy to be part of delivering that product capability. As we look towards next steps on this program, we're now moving into the final project assessment stage. That includes a cost-benefit analysis that includes some more detailed planning considerations. We're moving into that phase now. The initial decision for projects to go forward, often I'd say, they expect to be released within spring 2026 with final projects due in summer and hopefully, some very good news and moving forward on contracts towards the end of next year.
Jonathan Marren: Yes. So a couple of points. Just to clarify, we have had a number of people ask us whether we are worried by the new competitor is the vanadium flow straight zinc battery manufacturer. Just to be absolutely clear, Frontier Power have effectively split all their projects down the middle 50-50. So if you had a site with 100-megawatt connection, which was -- pick a number, 10 acres, 5 acres, 50 megawatts would have a vanadium flow battery on it and the other mirror side would have a 50-megawatt, 5-acre Eos battery. And that's just the way they wanted to configure that. So as Matt said, we were not the only vanadium flow battery where -- which had their technology bid into this, but we were the only successful one. 21 projects, potentially 22 because one of the other projects is choosing -- needs to choose between lithium and vanadium flow. And again, that's one of our batteries. But the point I wanted to focus on is that 1,000 permanent high-quality U.K. jobs potentially created here if we were to go ahead with all of those 21 projects. We don't think we will go ahead with all of those 21, but it is worth highlighting the point that we have a wonderful opportunity here to create the sorts of durable clean transition jobs, which the government is very keen to promote. The Energy Secretary, Ed Miliband, stood up at the Labour party conference last week and talked about the need to create 400,000 jobs in the U.K. Straight off the bat, there are 1,000 here, which you can start to point to. But this isn't just us. Eos, we've got huge respect for Eos alongside us. They've also said that they would look to create U.K. manufacturing. And we've seen other lithium battery manufacturers say the same. There is a great opportunity here that those who are able to provide U.K. technology can create the jobs that the whole of the sort of the net zero transition, the route to clean power and lower prices can bring those jobs at the same time. But I think we need to talk to anyone who will listen to say you need to join the dots here because otherwise, there is a real risk that there will be no specific promotion for U.K. technology, and they'll be ambivalent as to whether this technology is manufactured in the U.K. or arrives as a completed product on a boat. Now frankly, from our perspective, we can do that. So the worst-case scenario for me, and I'd be horrified by this, is if it doesn't create any U.K. jobs and our clients say to us, "Look, it is a bit cheaper to deliver a fully formed product from India or China, please do so." And we will have no option but to do so. However, if the analysis that Ofgem is doing enables a sort of support for what will be slightly higher prices from a U.K. manufacturing perspective, but all the ancillary benefits that go around it, it's not just 1,000 jobs, there's a multiplier effect from that coming in place. There's something really exciting that we could be part of here. But I'm telling everybody who will listen that there needs to be just a little bit of joined-up thinking to achieve that. And then we will -- you'll hopefully see us doing that. That's why we mentioned this at least 3 times in the RNS, in the interims, and you'll see us continuing to do so. Adam, do you want to cover this slide?
Adam Howard: Yes. Thanks, Jonathan. So it's worth taking a step back at what's the problem we're trying to solve here and why it's important for the U.K. As Matt mentioned, 21 of those 77 projects that Ofgem have approved have been submitted with ENDURIUM technology. So the traction there is really important. The average developer that submitted with ENDURIUM had a 60% chance to 45% across the scheme. And the U.K. has really been quite forward-leaning in putting a scheme on that together. But there's a reason for that. We have essentially the highest electricity prices in the developed world, about 30% higher than the EU, over twice as high as the U.S. And the reason for that is quite simple and quite interesting. We've taken the thermal coal baseload off the system before we had storage to balance it. So the last electron that bounce to the grid sets the price in the U.K. In the U.K., that is gas, which is the most expensive electron, 97% of the time. In the EU, it's gas 40% of the time. On top of that, we're also taking liquefied gas now from the U.S., which is more expensive. So that's really pushed up our bills in the U.K., which is crippling from a manufacturing perspective and has become quite an important political priority. But not just in the U.K., also in other markets. So in Canada, I mentioned the schemes early on there, in the U.S., in Hungary and also in parts of Europe. And essentially, all of these schemes are asking for the same sort of characteristics, 25-year availability without degradation and improved depth of discharge. And that graph at the bottom there is quite interesting in terms of what's changed here. So go back only 3 years ago, 4-hour plus duration was less than 0.2% of the market, relatively negligible. What was needed was a short duration 2-, 3-hour power, which could be delivered more cheaply through a lithium battery. Fast forward to today, 4-hour plus is around about 10%, 15% of the market. It's really changed quite quickly, and that's much more about time shifting and being able to do that over long periods. So it's interesting to see where this plays into what's happening in the U.K. and the problem we're trying to solve. So with that, I'll pass across to Jonathan to wrap up.
Jonathan Marren: Great. Thank you, Adam. So just a look back 12 months ago when I took over as Chief Exec, we set a 12-month plan, which we want to achieve 5 goals there. We've reported on some of these already. 4 of those, I think we can demonstrably say we have achieved, particularly talking this time about Goal 4, that cost reduction plan. In terms of Goal 3, we have a route to achieving these this year's numbers, and we're working diligent to make sure we take that place. And we have a deep and wide and very interesting pipeline going forward. Clearly, we need to support that. Now Goal 4 enables us to achieve that. But the continued focus is on making sure that we do achieve those additional sales so we can ramp up and achieve the scale needed. So last slide, and then we'll go on to Q&A. That stable proven technology is what provides the base for us to exploit the market opportunity ahead of us. Those 2,000 battery modules, as I've said, really is a calling card that is very difficult for many others to get anywhere near competing with as long as we continue to progress. And that close to 7 million -- 6.7 gigawatt hours, close to 7 gigawatt hours of dispatched battery, again, is setting ourselves apart from the rest. We do think we've got that market-leading position. There are others and where there are new technologies, which you see being talked about in various guises across the piece. Again, there is an awfully long way to go from that to having a position where people think technology is proven. The way that we are going to address this requires key strategic relationships. We remain really grateful for the investment from National Wealth Fund. We retain a very good relationship with them and delighted they remain on the shareholder register. Gamesa Electric in the process of being bought by ABB. ABB, I think, will be a great parent for them. We have met ABB, and they are very supportive of this. So we look forward to accelerating that further once that acquisition completes. We've talked about actually and what we're doing in China and also the existing relationships of Baojia and Everdura remain in place. So Joe, with that, I think we've completed the formalities. We can now move on to the Q&A.
Joe Worthington: Great stuff. And thank you, everyone, for putting so many questions in. We've got in excess of 28 and counting at the moment. So we'll try and get through as many as we can. And just before we go on to it, apologies if you can hear notifications coming off the exec's microphones. This is in the -- we're in the golden hour at the moment between our North American and European teams with so much going on. There's a lot of traffic. But -- okay. So there's a question here related to ongoing LDES schemes. What is the maximum value of orders from the Cap and Floor projects you've announced that you've passed eligibility? For Jonathan.
Jonathan Marren: Yes. So you won't be surprised to hear, I'm not going to give you an absolute number on that for obvious reasons. It is in the billions of pounds worth of revenue type, and that is certainly more than 1.
Joe Worthington: Okay. And related, there was a couple of questions actually about how -- assuming we take a view on how many of the maximum projects we win, how we manage the supply constraints within that? What's our strategy for that?
Jonathan Marren: So if you recall how -- assuming we do deliver a Made in Britain product, which is what we want to do, at the moment, the strategy is that we would -- and how we're delivering them at the moment, you have the steel container, so the 20-foot shipping container, you have the tanks and you have the electrolyte and the wiring effectively fitted in the best cost region, so China. But equally, you can see that being done in India. That is lower cost than you will achieve outside, particularly in the U.K. and elsewhere. That then gets shipped as that product to the U.K. to the factory in Motherwell, where we would have stacks manufactured. So those stacks will get fitted. Control system gets fitted. We do the factory acceptance test. That's where the core IP and the core know-how really gets added to the product. That is regarded as a substantial transformation. It's a British factory and it gets shipped to site. So there's a number of different parts of our supply chain. We look at the component parts that fit within that. All of the component part suppliers we are working with are capable of scale. What they need is time and notice to do so and some security of order. Our partner is Baojia, and Baojia would be involved in any move to Xiamen as well. So we're certainly not disintermediating them from this discussion. They are certainly capable of scaling. And the whole point of China and India as well is that you can get to significant scale. So I think that continuing sort of fabrication of boxes, tanks, electrolyte, we are comfortable with the lead time that we can achieve. And then you're looking at what happens in the U.K. So stack manufacturing, we have already installed a semi-automated stack line within the U.K. At that sort of volume, we'll be looking at move to further automation. That is taken into account when we've looked at those 1,000 jobs. So therefore, we would need probably additional facilities to manufacture stacks, but we've shown that's not a significant investment to do so. And then it's still fitting those stacks into ENDURIUM is still not a high CapEx cost process. There needs some space. You need a crane to move the boxes around. But ultimately, it actually became a matter of logistics, how can you get that number of boxes through a site. So I think it needs planning. We would look to deliver these over 2 to 3 years and revenue will be recognized over that 2- to 3-year period. So this isn't just going to hit in 2030. You would certainly expect revenues to be coming through from '28, '29 and 2030. So it's not just a one-off hit, but very important to realize that. So that 16.7 gigawatt hours would be spread out over 2 to 3 years in any case.
Joe Worthington: Great. And related, there's -- someone's asked a question here talking about super projects in the Cap and Floor, particularly one project called the Hagshaw LDES, which is being bid in to use vanadium flow. Is our commercial strategy to do a few of these super projects and call it a day or do a large number of smaller projects? Can you comment on that, in general?
Jonathan Marren: Yes. Matt, do you want to take that?
Matthew Harper: Yes. Look, one of the things that's nice about the projects that have gone in under Cap and Floor is that there is a sequencing to them. There are a number of smaller projects that we would be delivering in the earlier portion of that program and then some of the larger projects that we will be delivering towards the back end of it. That is very nice from our perspective because it allows us to continually ramp up the level of production that we've got both for our global supply chain and locally through the final assembly of product in order to get those products delivered. Is it -- do we -- are we concerned about the size of those things? Absolutely, but it's also dead on where we expect to be delivering these very, very large projects in 2030 and beyond. So it's -- they're definitely large projects as compared to what we've done in the past. But because we have sort of stable immediate steps along the way to get there, especially through some of the earlier projects in Cap and Floor, we're confident in our ability to deliver on those.
Joe Worthington: Thanks, Matt. A question here, interesting question about financing and financing models around LDES projects. What are the different models and what are the different strategies that are being taken? I think this is more general than just the Cap and Floor, but I think maybe we could talk about sort of what we've seen on our side. Adam?
Adam Howard: Yes. Thanks, Joe. So 2 ways of reading that question as to LDES financing or LoDES financing, and that's what I'll do is try and address both and split into short, medium and long term. So in the short term, we have seen the first debt financing on our batteries as part of our portfolio financing together with lithium. That's quite an important milestone in terms of lenders getting comfortable with the asset class. We are now looking at current contracts, which are sole project finance for our technology, and that's really important as a milestone build up into the larger Cap and Floor orders. In the medium term, so on LoDES, we are fully financed there with the grant financing and the equity financing. We have been approached with by 2 lenders with good interest to finance the batteries, and that's important as we sort of lead up into the larger projects for Cap and Floor. And I mean, clearly best cost of financing is delivered after energization expected second half of next year. So we'll look to keep the lowest cost of capital for that, but there is interest out there in the bank market and the U.K. bank market, particularly for financing these assets. In terms of the longer-term Cap and Floor, that Jonathan mentioned, those are 28 to 30 deliveries. The Cap and Floor has been designed -- the floor has been designed to support project finance. It's built on the Cap and Floor mechanism for the interconnectors that we have with Germany. So that supported high levels of gearing, and it's been structured to facilitate project finance into the space. So we have already -- we're fortunate in that NatWest House Bank has shown significant interest in our technology and understanding the sector. They were the largest financing into short-duration lithium battery storage in the last few years. And we're seeing plenty of interest from the U.K. bank market to support these assets.
Joe Worthington: Great. Thanks, Adam. I'm going to move on. There's quite a lot of questions sort of around on the more sort of commercial sort of product side, which you might just move on to and get through a couple of them. There's a couple of questions here around sort of the general sort of geopolitical climate. There's a specific one here about, given the current political environment in the U.S. and the effect on some renewable companies out there, what's your -- has your view on the U.S. market changed at all? And what's -- and Invinity's pipelines of opportunities?
Jonathan Marren: Yes. Joe, look, it's a really good question and probably it definitely warrants a few moments thinking about this. There is new news flow that comes out of the U.S. every single day. And it is absolutely fair to say that, that news flow can be challenging at times. We are aware of it. And we've got to make sure that we don't make any rush decisions on the basis of that because fundamentally, we still have a very good position when it comes to the U.S. There are issues at a sort of federal level and issues at the state level. If you sort of drive down into that state level, the California Energy Commission, we are one of the very few LDES technologies, which the CEC is looking to back and will continue to back no matter what changes from a sort of a federal political basis. So there is still a very interesting market to target there. And there are some projects there, which I wish I could talk about because they are so exciting and so transformational to us if we can get those over the line, it will take us to a different level than we are now. But these things do take time. And what's not helpful is uncertainty that comes from that. So we're alive to it. Definitely, there will be issues with some projects that sit in our pipeline. But you would expect that. And to be honest, that's why we never assume for one moment that all of those projects will come through. But also, this, again, gets to why it's really important that we have a widely geographically spread business. And again, comes to why India and China is important. I would be nervous now if most of my sales funnel is coming from the U.S. It's not. And therefore, it would be nice if there's more certainty there, but I can look across U.K. and Europe. I can look to India. I can look to China. I can look to Australia. And the U.S. will come through in its own time frame. And when you look across '28, '29, Cap and Floor and other projects there are very obvious. That -- just that short to medium term, '26 and '27, there are still some significant projects there that are not U.S. focused, that sit outside of any regulatory program with developers that want to deliver that. They are -- these sales cycles though can take anything from -- quickest we've had is 3 months through to 3 to 4 years. And the -- just look at what happened last week when the connections reform in the U.K., which is being pushed through by NESO was delayed by 3 months. So any projects in the U.K. outside of our control is automatically on a decision-making process pushed back 3 months. That's really frustrating because we've got some really interesting projects there, which are bubbling away, close to being ready to go. But unless you can have your connection confirmed, you can't get that to financial close. Those projects are still there, but we just got to make sure that we've got a broad enough spread across them, but we have got that spread across jurisdiction, use case and developer type that those will start to drop. It's frustrating, and I would love to see them dropping quicker. But I'm confident they're there and enough of them will get through there that we will deliver the upwards tick that we need to. Matt, anything else you want to sort of add to that because you're often more in the firing line than I am from customers.
Matthew Harper: No, look, the one thing that I would say just to address the regional risk more broadly and just to talk about the U.S. Look, the thing that we've seen over and over again is that despite vacillations, shall we say, at the federal level, the states themselves remain very supportive of what we're doing and remain very interested in funding the list of programs that we talked about earlier on in the presentation. So while I think everything in the U.S. is going to be progressing more slowly than we had expected, we still remain very confident in the longer-term view of how those programs are going to go forward, and we remain very encouraged by the relationships that through delivering against existing projects, we are continuing to build in -- especially in California.
Joe Worthington: Thanks, Matt. Moving on to some of the product questions. So can you update us on how the launch of ENDURIUM Enterprise has gone, specifically who the target market is? And there's a couple of follow-ups on this as well. But some want to cover that first?
Matthew Harper: Yes, sure. I'm happy to jump in on that. Look, the reason we launched ENDURIUM was -- ENDURIUM Enterprise was not because we wanted a new product, it's because we were actively quoting it for a handful of customers. This was really a customer-led initiative where we had a small number of projects come through where we require -- the projects themselves were very compelling. At least one of them is with a previous partner with whom we've already delivered equipment. And they said, look, we want the benefits of ENDURIUM, but we want to be able to deliver it behind the meter and at a smaller scale. And so given that impetus, we thought it was reasonable not to sort of do a quick and dirty job of going and offering them something that would make sense for their needs, but rather really turning this into a fully built-out product that we could deliver not only to those prospective customers, but also to the C&I market more generally. In terms of the general focus and target for that product, really, ENDURIUM is -- the smallest projects that we're contemplating are in the double-digit megawatt hour size range. ENDURIUM Enterprise allows us to go down into the single-digit megawatt hours. That opens up a lot of the sort of medium to larger scale industrial facilities and commercial facilities where they have big electricity bills that need teaming and where our batteries can do a really good job. It also opens the door to slightly larger projects, but where they have a very, very high degree of redundancy required within their operations, sort of critical loads where having a smaller number of battery strains is very beneficial. So that stretches well into that sort of double-digit megawatt hour range. So whether you're looking at critical infrastructure, hospitals, data centers, whether you're looking at just smaller commercial or industrial facilities, ENDURIUM Enterprise is the right architecture for us to deliver.
Joe Worthington: And the follow-up question, which someone has literally just asked again in a slightly different way. How are we addressing sort of the data center and sort of AI opportunity? This last question sort of says that our efforts seem to be currently quite heavily weighted towards grid scale projects. Does Invinity have a compelling sort of product for this market? Can you talk a bit about that?
Matthew Harper: For sure. Yes. Look, I'll start off and Jonathan and Adam if you have comments, please jump in. As we are learning more about the duty cycle that these data centers have to go through and as we're learning more, especially about a lot of the AI data centers, what we're learning is that their load factors are incredibly stochastic. They are all over the place. These data centers will be pulling 20% of their net load 1 minute and 100% of their net load the next. Regulating that power flow into a data center like that is a duty cycle that our battery does spectacularly well, and it's a duty cycle that would be incredibly damaging for most lithium-ion technologies and other solutions. So we've always talked about data centers as being a great fit for us explicitly because of the lack of fire risk. Data centers are not going to want to have a battery installed alongside them regulating their power flow that has any fire risk associated with it whatsoever. But now that we're learning more and engaging more deeply with some of those hyperscalers and those other data center service providers, what we're learning is that the basic duty cycle for a battery at these sites is really fit for purpose for us as well. So some interesting opportunities in our pipeline, nothing to announce as yet, but I would say watch this space because it's one that we are very, very excited about.
Joe Worthington: Thanks. There's a question here around someone that's sort of news coverage on membraneless-less flow battery -- sorry, membrane-less flow battery technology bidding to be part of the big data center project in Switzerland. Does management have a view on this type of technology? And what gives us the confidence that ENDURIUM is superior to that?
Jonathan Marren: Yes. Look, Matt, if you may, I'll cover that. That's referring to the FlexBase project in Laufenburg. FlexBase were at the International Flow Battery Forum in Austria this year talking to the entire industry. And that is a really interesting project. That is they're looking to put 2 gigawatt hours of vanadium flow batteries beneath a data center. It's fair to say every single flow battery manufacturer is talking to them, and we are not alone in that, and we know them well. What I would say that is if you were looking to build a data center that needs a 2 gigawatt hour battery, you would be -- one of the key things you would be looking at is making sure that you have a robust technology that is proven in the field. So I can't comment on the credibility or technological prowess of that specific technology. I have no basis for doing so. Obviously, wish them well. But we are confident that when you look at how successful we were under Cap and Floor against all other vanadium flow batteries that we have a pretty strong competitive position there. They haven't announced where they're going with that, haven't announced how they're doing it, how they're going to structure that, but we know them well. But no, I'm not concerned about that. If we stand still for the next 5 to 10 years and let them get to the position we are now, then that could be an issue. But in 5 to 10 years' time, I would envisage we're a very different business than we are now.
Matthew Harper: Yes. And Jonathan, just to pile on just quickly on the technology side. I would say that membrane-less flow batteries have been contemplated for a very long time. There are a handful of companies who have tried to bring that class of technology to the field, and they have struggled with the durability and longevity of that technology in service. There are always chances that those challenges have been resolved, but I would say that it's a class technology that has been tried and has not succeeded to date.
Joe Worthington: Just keeping one eye on the time. I think we've still got some really good questions coming through. So I'm going to run over another 5 minutes or so just to let those on the call know. There's a number of questions here sort of asking about cash and things like that. So perhaps management could just give a bit more commentary in addition to what's been on the on the slides around cash burn and cash balance and sort of route to cash generation.
Adam Howard: Yes. So as we talked early on, post the GBP 25 million raise, cash position at the end of September is just under GBP 40 million. And you'll see from the interims, our admin expenses now running under GBP 2 million a month, which sees us comfortably funded through into 2027, including also the equity outlay on LoDES. So that leaves the company in a strong position without the additional gross margin from some of these projects that we're looking at in the pipeline and that we talked through early on in the presentation. So that gives really headway to now look at good solid strategic decision-making for the group. Part of the user process that raise are R&D to accelerate our cost down. The most important thing in our pipeline conversion is cost, and that cost is driven by R&D investment, and the group is now in a solid place to deliver on those plans.
Joe Worthington: Great. Thanks, Adam. There's a question here asking about the deal we have with UESNT, our Chinese partner, and we made, I think, one of the recent announcements about a license fee that's potentially due by the end of the year. Could you just give a little bit more color on this? And does this signal a sort of fundamental shift in our business model? And how should that color people's thinking on sort of that breakeven point?
Jonathan Marren: Yes. When we say a fundamental change in our business model, hopefully, I can point you back to those -- that box right at the beginning of the presentation where we talked about our revenue streams, one of them was license and royalty. We have been talking about that for, I think, at least 2 to 3 years. So absolutely not -- this does not signal a change. We've been talking about this for quite some period of time. It's the way we think we should exploit markets outside of our core and let our partners do the heavy lifting when it comes to the commercial -- building the commercial pipeline, closing the sale and doing the delivery and installation and O&M from there on inwards. And hopefully, the manufacturing as well, we will get a license fee from that, that comes through as revenue without any costs associated from it. So it is clearly a lower revenue number, but it comes without cost. Therefore, it effectively comes through as near 100% gross margin. If we supply stacks, then that would come -- that 100% would come down because you'd also take account of those stacks, but much, much higher gross margin revenue than you have to date. If you're trying to build a valuable business, margins are -- percentage margins are really important. So anything we can do to raise those margins both at the gross level and at the net level are really important. And obviously, that does bring cash through without the costs associated with it. So that is why if we do book the revenue from that this year, that comes through with a very high margin, and therefore, it's really helpful to us.
Joe Worthington: Thanks. I think we'll just do one more question, and it's been asked a couple of times in a few different ways, and it's a good one to end on it. It's people looking across into the Eos, specifically Eos, who have a market cap of close to GBP 4 billion according to this question. Can you provide an explanation as to why this market cap is so much larger than Invinity's? You seem to be operating in the same space with similar technology and a similar level of development. Jonathan?
Jonathan Marren: Yes. Let me do that. Matt, feel free to jump in, if need be. So you're quite right. We are, to some extent, very similar businesses. We both dispatch broadly the similar amount of energy. They'll put their latest sort of total energy dispatch from their batteries out, I think, in their results, which their Q3 results, which are due out in November. But broadly, I expect that to be sort of reasonably similar. From an Eos perspective, we often sit alongside them in -- actually, either in projects on the ground, the [ VS3 ] project, other projects, we're clearly Pari-passu with Frontier Power in the U.K. I think that was the only one they were involved in. And obviously, that was successful alongside us. And therefore, you say, well, why do they have a different valuation from us? Some of that can be explained potentially by small cap in the U.K. is having a tough time at the moment, but it certainly doesn't explain that huge difference. And I think I get asked this a lot, and it's worth us focusing on that. And this really, to some extent, explains the opportunity we have because they have a financing structure that allows them at the moment to sell product at negative gross margin. And I say that because if you look at their forecast for this year, I think it's -- this might be -- this is broadly right, forgive me, this is around about $125 million of revenue and a gross loss of about $60-odd million. So they are selling significantly below the cost of production. And also, they have an OpEx base, I think, that is about 3x the size of ours. So quite a healthy growth -- healthy loss. Next year, they are able to -- they're forecasting, I think, $460 million of revenue and again, on effectively a flat gross margin business. Now for us, our shareholders, and I think us as a management team as a Board do not think that's a strategy we want to pursue to sell as a negative margin. We also do not have the balance sheet to do that. However, what's really important to notice is that the prices where they are quoting in a number of years' time are exactly where we are going to be from our cost down procedure. And therefore, we know the reason they've got those deals now is because they're at those price points where they're able to effectively sell at that loss, we're not able to. So they have a better forecast than us at the top line and the U.S. does value top line growth. We don't have that luxury in the U.K., and that's fine. But I think it points to the fact that there are customers in the LDES space that are buying at the price points that we are getting to. And when we get there, and I'm sure it is when we get there, then that sort of value will start to attribute to us. From us, we are also broadly spread from a geographical perspective. So back to the question on the U.S. I don't know the makeup of their projects and products where they go. But I think in competition, we mostly see them in the U.S. We don't see them as much outside of the U.S. at the moment other than the U.K. Matt, is that -- do you think that's fair? Yes. But yes, just for the avoidance of doubt, huge respect for them. And what we really want is we want Eos to be fabulously successful because we want this to be a fabulously successful sector, where institutions and investors make money and customers see that those who have got to the stage where the technology is mature are successful and develop because I think we will be one of them, and we will all grow on that rising tide. So I say very good luck to them, very good luck with that valuation, and we will aspire to that as quickly as we can.
Joe Worthington: Thanks, Jonathan. I think we'll call it the on the questions. And thanks, everyone, for putting them all in. We'll make sure there's -- I don't think -- there's a few we've managed to miss, but I'll make sure someone, myself, one of the team gets back to you shortly after this call. And Jonathan, can I just sort of go to you for some final sort of closing remarks, please?
Jonathan Marren: Yes, very happy to. Thanks, everybody, for joining. Apologies if there were some irritating pinging noises earlier on. It wasn't messages coming through. I think it was the port and my computer playing up, which I haven't spotted. So entirely my fault, I hold my hands up for that. We'll sort that out for next time. Hopefully, you found this useful. This is a business where there is some extraordinary opportunity there. The key for us is cost. I'm going to keep coming back to that, and that's the key there. Matt, you know your key task is to make sure we continue the process to bring the business together to drive that down. That is the #1 focus and everything follows from that. But I think that question on Eos is interesting. You've seen where the value of this business can go if we get that right. And I think that is absolutely within our graph. So exciting times. We'll keep pushing those partnerships forward as well and look forward to speaking to you next time.
Operator: Fantastic. That's great. Thank you all for updating investors today. Could I please ask investors not to close this session as you'll now be automatically redirected to provide your feedback in order that the Board can better understand your views and expectations. This will only take a few moments to complete, and I'm sure will be greatly valued by the company. On behalf of the management team of Invinity Systems plc, we would like to thank you for attending today's presentation, and good afternoon to you all.